Operator: Good afternoon, and welcome to the Curaleaf Holdings' Fourth Quarter and Fiscal Year End 2021 Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Senior Vice President of Investor Relations and Capital Markets, Mr. Carlos Madrazo. Please go ahead.
Carlos Madrazo: Good afternoon, everyone, and welcome to Curaleaf Holdings' Fourth Quarter and Fiscal Year-end 2021 Conference Call. Today, we're joined by Boris Jordan, Executive Chairman; Joe Lusardi, Executive Vice Chairman; Joe Bayern, Chief Executive Officer; Ranjan Kalia, Chief Financial Officer; and Matt Darin, President of Curaleaf U.S. Before we begin, I would like to remind you that the comments on today's call will include forward-looking statements within the meaning of Canadian and United States securities laws, which by their nature, involve estimates, projections, plans, goals, forecasts and assumptions, including the successful integration of acquisitions and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements on certain material factors or assumptions that were applied in drawing a conclusion or making and forecasting such statements. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Additional information about the material factors and assumptions forming the basis of the forward-looking statements and risk factors can be found in the company's filings and press releases on SEDAR and the Canadian Securities Exchange. During today's conference call, Curaleaf will refer to non-IFRS measures that do not have any standardized meaning prescribed by IFRS, such as adjusted EBITDA, the definitions of which may be found in our earnings press release. Please note that all financial information is provided in U.S. dollars unless otherwise indicated. With that, I'd like to now turn the call over to Executive Chairman, Boris Jordan.
Boris Jordan: Thank you, Carlos. Good afternoon, everyone, and thank you for joining us for our fourth quarter and full year 2021 earnings call. 2021 was another exceptional year for Curaleaf. We executed well against our strategy on all fronts, enabling us to deliver strong financial and operating results while further positioning Curaleaf for continued strong growth. We reached a significant milestone in 2021, generating total revenue of just over $1.2 billion for the first time in our company's history, representing 93% growth over 2020. This achievement is even more impressive when you consider that we have more than quadrupled our business since 2019. We generated adjusted EBITDA of $298 million, representing a 107% growth and 160 basis points of margin accretion. And we ended the year with one of the strongest balance sheets in the industry to support our ongoing growth strategy. In addition to our impressive financial performance in 2021, we executed strategic acquisitions that have strengthened our ability to continue gaining share in key U.S. states and enabled us to enter the highly attractive European market where we see tremendous long-term growth potential. Looking at the fourth quarter, we delivered financial results in line with our expectations, enabling us to achieve a full year 2021 guidance. Total revenue was a record $320 million, an increase of 1% sequentially and 39% year-over-year. Our quarter 4 over-year growth was primarily organic. Our adjusted EBITDA was $80 million in the fourth quarter, representing 12% sequential and 48% year-over-year growth, and our quarter 4 EBITDA margin was approximately 26% in the U.S. and 25% on a consolidated basis, up 240 basis points sequentially as we improved our gross margin significantly versus last quarter. Despite the more challenging economic environment in the second half of 2021 as well as the typical seasonal impact of Croptober in quarter 4, our continued strong execution, leading products and strong brands enabled us to deliver fourth quarter sequential growth that again exceeded the total market, which declined by approximately 4% according to BDSA and Headset. We also made significant progress in the fourth quarter, strengthening our balance sheet. As we previously announced in December, we completed the largest debt offering by any public MSO to date, issuing 475 million of 8% senior secured note. We are very pleased with this transaction as we reduced the annual interest rate on our outstanding debt by approximately 700 basis points, while at the same time, providing us with ample liquidity to pursue our growth initiatives. We were also active on the M&A front in quarter 4. In addition to the Tryke deal, which we discussed at length on our last call, we also announced 2 strategic acquisitions in the highly attractive Arizona market, including Bloom and Natural Remedy Patient Center. Bloom gave us 4 additional retail stores located in 4 major cities, further expanded our cultivation and production capacity in the state and contributed several high and successful brands to our business. Over and above this, Bloom is a very profitable business that will be immediately accretive to our margin. Now I would like to turn to a discussion of what we are currently seeing in the market as well as our key initiatives for '22. We believe more than ever in the future of cannabis and its potential to become a $100 billion-plus industry. Like all industries, however, we'll face periods of rapid expansion as we saw over the past 3 years and periods of more measured growth, but growth is inevitable as more markets continue to open to medical and adult-use cannabis and consumer adoption increases. As we look towards the beginning of 2022, we are seeing a period of tempered growth driven by 2 main factors: First, the delay of significant legislative catalysts at the national and state level, albeit we do expect New Jersey adult-use program to come online at the beginning of May. And second, a more challenging consumer demand environment as a result of the shrinking discretionary income due to the end of COVID stimulus checks, inflation levels not seen in decades and increased pressure related to the current conflict between Russia and Ukraine. The consumer price index, for example, rose 0.6 in January versus December, driving inflation up 7.5% year-over-year. Furthermore, recent forecast from the conference board estimates that real disposable income in the U.S. will decline by 3.2% in 2022. This is after growing every year since 2019. Taking these factors into consideration, we expect the recent trend of softer industry growth, which began in quarter 3 of last year, will continue through the first quarter of '22, followed by a resumption of growth in the second quarter and through the remainder of the year. Despite these temporary market conditions, we remain positive on both overall industry expansion and Curaleaf's top line growth for '22, and we are even more enthusiastic about our growth in '23 and '24. The fundamentals of the cannabis industry remain incredibly strong with several powerful catalysts that will propel the next phase of industry growth from $25 billion today to almost $50 billion over the next 5 years. With our scale, leading products and brands and excellent balance sheet and liquidity position, we believe there is no better company, that Curaleaf can navigate this current market environment and to benefit from the tremendous long-term growth opportunity available to us. So let me now discuss some of the key catalysts that we expect will support our above-market growth. Starting with New Jersey, despite the unfortunate delay in their adult-use program, we do believe that adult-use sales will begin in New Jersey around May 1. Our government relations team is in constant contact with the governor's office, and we are doing everything in our power to help facilitate the process. We have complied with all existing [CRC] guidelines. Our application for adult-use sales is complete. And as we have mentioned several times, we have ample inventory to support both medical and adult-use markets immediately. There is no question that Curaleaf will benefit significantly from the upcoming growth of adult-use sales in New Jersey in 2022, a market which is estimated to expand in aggregate to approximately $2.1 billion. Looking beyond this year, we see several powerful tailwinds to our growth in 2023 and 2024 that we are really excited about. First, we continue to expect New York to launch its adult-use program in 2023. As a reminder, New York is expected to ultimately be the second largest U.S. cannabis market at more than $5 billion in annual sales. We believe Connecticut's adult-use program could also begin in either late '22 or early '23, representing a $570 million plus market. And we expect that Pennsylvania and Maryland may be next major states in our footprint to approve adult-use, potentially launching their programs sometime in 2024. With a combined population of 19 million, Pennsylvania and Maryland represent an estimated additional $4 billion annual market opportunity. We have never been more ready to capitalize on the massive potential revenue opportunity coming in New York, New Jersey, Connecticut, Pennsylvania and Maryland. These states represent in aggregate an opportunity of $12 billion market, and we continue to believe Curaleaf will benefit disproportionately as we are one of the largest if not the largest operator in each one of these states. I also want to highlight that Curaleaf's growth -- future growth catalyst extend beyond the U.S., something that we believe is both unique when compared to our MSO peers and underappreciated in the market today. Over the past few weeks, I've visited all of our European operations, and I have to say that I couldn't be more excited about the future of our international business. In the U.K., Curaleaf has retained its leading position and continued to show strong 50% sequential revenue growth in quarter 4, albeit off a small base. Adding to our positive outlook in December, Germany's new government agreed to legalize cannabis for recreational use, which we believe could begin by 2024. This is a significant long-term positive for our international business as Germany represents Europe's largest economy in cannabis market, projected to reach $2.5 billion in adult-use and medical sales by 2025 according to BDSA, and we believe could exceed $10 billion at maturity. Furthermore, we believe Germany could be a catalyst to other European countries moving faster towards legalization. We are very excited about our growth potential in Europe, a market with nearly 750 million people and an estimated 229 billion TAM. Shifting to our priority for '22. Our focus is to continue organically expanding our business by broadening our distribution, introducing new formulated products and strengthening our national brand. Our strategy has always been to build the largest cannabis company in the world. Critical to this strategy is having a meaningful presence in all of the largest U.S. markets, which means operating in states like California, Colorado, Michigan and Oregon, which we call our investment market. While our investment markets currently generate lower margins on average as they are more competitive and represent states that are still building scale, we believe it's vital to our long-term growth and brand building strategy to operate in these states since they represent nearly 40% of the total U.S. addressable market or $10 billion. In addition to our organic growth strategy, we will also continue to look at M&A, but we will only consider executing highly accretive tuck-in acquisitions in a way that is beneficial to our shareholders. As I mentioned before, with one of the strongest balance sheets in the industry, we believe we are well positioned to continue pursuing our organic growth plan while also being selective in terms of our M&A strategy. While top line growth remains our primary focus, we are also dedicated to streamlining and making our operations more efficient to realize consistent margin accretion. We see a path to our strong margin improvement in 2022 and beyond, driven by greater economies of scale, our ongoing initiatives to increase efficiency in our cultivation and production facility and a continued focus on SG&A leverage. In terms of our financial outlook, we currently expect to generate 2022 total revenue of between $1.4 billion and $1.5 billion. At the midpoint of our guidance, our total revenue growth was 20% compared with the U.S. industry growth of approximately 15% based on recent research analyst estimate. We also expect to achieve an adjusted EBITDA margin of around 28%. Finally, we expect to deliver positive operating cash flow for the full year. In closing, 2021 was a great year for Curaleaf. We delivered strong financial results and made excellent progress against all our key initiatives, which sets us up for a successful 2022 and beyond. While the current equity markets have been challenging for everyone, I firmly believe that Curaleaf is in a strong position than any time in our history. The growth opportunities ahead of us are significant, and I believe we have the right strategy in place to capitalize on this opportunity and deliver increased value to all of our stakeholders. I also want to thank the entire Curaleaf team for their commitment to our company and to our customers and patients. Their dedication to building the world's leading cannabis company is the key to our ongoing success I believe the best is still ahead of it. With that, let me turn it over to Joe Bayern.
Joe Bayern: Thanks, Boris. 2021 was a successful year for Curaleaf as we continue to strengthen the 4 pillars of our competitive advantage, including research and development, national distribution, branding and marketing and our world-class team. Turning to some business highlights and updates beginning at the state level. As Boris mentioned, we have a tremendous opportunity for growth in our core markets within the Northeast, and we are ready for adult-use to commence in New Jersey. Outside of the Northeast, we continue to see solid momentum across our focus markets. Pennsylvania remains a strong growth market for us as we gained share for the second straight quarter. Since the beginning of 2022, we have opened 3 new retail locations in Pennsylvania with a fourth expected this month, which we expect will continue to help drive our above-market growth in this state. In Illinois, I'm pleased to report that we received state approval to open our Litchfield expansion site in January, and we expect our first harvest from this facility to occur in the second quarter of this year. Our increased capacity is expected to be a growth driver for us in Illinois in 2022. Florida also remains a key focus for Curaleaf, where we plan to continue expanding our capacity and retail distribution. In 2021, we almost doubled our market share in Florida. And in fact, last week, we dispensed more milligrams of THC in Florida than we ever have in the company's history. In January, we added 2 new retail locations in Florida for a total of 44 dispensaries, and we have another 11 stores identified and under development. Shifting sites to the West Coast, we are focused on improving margins in our investment markets such as California and Colorado. While California saw the typical seasonal impact of Croptober in and Q4, I'm pleased to say we made progress improving our margins in the state, driven by our supply chain rationalization efforts, including the previously announced sale of our Eureka facility as well as the reduced cost of wholesale biomass. In Colorado, our Los Suenos acquisition will have a positive impact both on our revenue and our supply chain, and therefore, our margins in the state beginning in the second quarter of 2022. In Arizona, as Boris mentioned earlier, we bolstered our market position through the Bloom and Natural Remedy acquisition. We remain a top 2 player in this high-growth state and are excited about our growth opportunities there in 2022. Turning to research and development. We continued to successfully launch new products across our markets in the fourth quarter, driving new customers and increased product interest across our retail and wholesale operations. In 2021, we introduced 147 new products in our market with approximately 11% of our revenue generated by new products launched within the last 12 months. We launched the new Select X Bites line in December, which we believe delivers the fastest, strongest and the longest lasting effects of any gummy product on the market today. X Bites are currently available in Arizona and Maine with additional states, including Colorado and Nevada, coming soon. We also continue to see strong customer traction with our innovative Cliq by Select vape system and introduced Cliq in several new markets in Q4, including Massachusetts, Maryland, Nevada, Connecticut, Florida and Michigan against amongst others. We have an exciting pipeline of new products that we'll be launching in 2022 within all our core brands, including Select, Curaleaf, and Grassroots. Additionally, we're also evaluating national expansion of several of the brands we recently acquired through the Bloom acquisition, such as [Indiscernible]. There's no doubt that our strategy of creating differentiated products backed by science is creating sustainable competitive advantage. Moving to our distribution. We added 8 new dispensaries in the fourth quarter, including 5 in Florida, 1 in Arizona and 2 in Colorado through our Los Suenos acquisition. As I mentioned earlier, since the end of Q4, we have continued to expand our retail presence by adding 2 additional stores in Florida, 3 in Pennsylvania and 4 in Arizona through our Bloom acquisition for a total of 126 dispensaries nationwide as of today. From a financial perspective, our retail revenue was $860 million for the full year of 2021, an increase of 103% year-over-year. In the fourth quarter, retail revenue was essentially flat on a sequential basis and increased 37% year-over-year. Our annual revenue growth was supported by the addition of 21 new dispensaries in 2021. On the wellness business, our number of retail transactions per month grew 3% sequentially in Q4, while average order values remained consistent quarter-over-quarter. In addition, the total number of patients were essentially flat in December versus September and grew 16% year-over-year. At the wholesale level, our revenue was $347 million in 2021, an increase of 113%. In Q4, wholesale revenue grew 2% on a sequential basis and 46% year-over-year. Our growth was driven primarily by the expansion of our distribution platform. For the full year, we added just over 1,100 wholesale partner account, reaching approximately 2,300 active accounts at year-end, up over 90% year-over-year. During Q4, we grew our number of U.S. wholesale accounts by 8% sequentially, led by our central U.S. states, which were up over 15%, driven by our entrance into the Missouri market and continued growth in Michigan. We also continue to generate solid new account growth in our Western markets in Q4, driven by additions in California, Colorado and Oregon. In terms of cultivation capacity, as of December 31, 2021, our total cultivation and production capacity comprised approximately 4.4 million square feet, an increase of over 2.5 million square feet from 2020. Most of this increase was a result of our acquisition of Los Suenos. However, we met our prior guidance to organically add 275,000 square feet of Flower Canopy by year-end. For 2022, our cultivation expansion plans are predominantly focused on Pennsylvania, New York, Illinois, Arizona and Maine. Finally, before turning the call over to Ranjan, I would like to expand on what Boris mentioned with respect to our overall strategy. We believe in order to build the world's leading cannabis company, you have to operate in the world's largest market. California, Colorado, Michigan and Oregon in total represent approximately $10 billion of today's $25 billion cannabis industry sale. Europe, which we also consider as one of our investment markets, represents an estimated $229 billion of addressable market size. The opportunity here is tremendous, and you simply can't build the world's leading cannabis company without operating at scale in these markets. With that said, our investment markets do operate with a different margin profile today versus our more established state. To put this into context, for the full year of 2021, our investment market, including Europe, represented an approximately 700 basis point drag on our adjusted EBITDA margin, meaning that our EBITDA margin, excluding these states, would have been around 32% for that same time period. Despite the current impact to our margins, we believe it's critical to our growth and brand building strategy to be in these markets, which we believe will be one of the largest growth catalysts for the industry over the next 5 years. While it will take time, we have strategies in place to drive consistent margin expansion across these markets and are confident that by leveraging our 4 pillars of competitive advantage, namely developing differentiated products backed by science, building out the broadest distribution platform in the industry, creating consumer-preferred brands and building the strongest team in the cannabis industry, we will win in these markets. With that said, I'd now like to turn the call over to Ranjan to discuss our financial results in more detail. Ranjan?
Ranjan Kalia: Thank you, Joe. Let me now provide you with a summary of our results for the fourth quarter of 2021. Total revenue reached a record $320 million in the fourth quarter, representing sequential growth of 1% and year-over-year growth of 39%. Our Q4 revenue was essentially in line with our expectations and primarily reflected continued year-over-year organic growth driven by new store openings, the addition of new wholesale accounts, product launches and the expansion of our cultivation and production facilities. Retail revenue was $226 million compared with $225 million in the prior quarter and up 37% year-over-year. Retail represented 71% of total revenue. Our year-over-year retail revenue growth benefited from the addition of 21 new stores during 2021 as well as increase in our e-commerce penetration following the revamp of our digital marketing tools. Wholesale revenue grew 2% sequentially and 46% year-over-year to $94 million and represented 29% of total revenue. Our year-over-year wholesale growth was supported by the addition of new partner accounts. At the end of Q4, we had approximately 2,300 wholesale accounts, up more than 90% from the year ago period. Our gross profit was $159 million for the fourth quarter of 2021, an increase of 10% from $144 million in the prior quarter and 45% from $110 million in the fourth quarter of 2020. Gross profit margin was 49.7%, representing an increase of approximately 410 basis points sequentially and 190 basis points year-over-year. The increase in our gross margin primarily reflects continued efficiency in our cultivation and processing facilities and improving economies of scale. In addition, the sequential increase in our gross margin reflects a loss on inventory related to our Eureka California facility divestiture and the write-down of certain other inventory in the third quarter of 2021, which did not recur. SG&A expense was $100 million in the fourth quarter compared with $102 million in the prior quarter and $68 million in the year ago period. The year-over-year increase in SG&A primarily reflects increased headcount in support of new store openings, higher travel costs as revenue facing travel resumes and marketing in support of new product rollout. SG&A as a percentage of revenue was 31% compared with 32% in the prior quarter and 30% in the year ago period. Our fourth quarter SG&A also included approximately $10 million of adjusted EBITDA add-back versus $19 million in the prior quarter. Our SG&A, excluding add-backs, represented 28% of total revenue in the fourth quarter. Adjusted EBITDA was $80 million for the fourth quarter of 2021, an increase of 12% sequentially and 48% year-over-year. Our Q4 EBITDA growth was faster than our revenue growth, a trend that we expect to continue in FY '22. Adjusted EBITDA margin was 24.9% in Q4, an increase of 240 basis points sequentially and 140 basis points from the year ago period. In the fourth quarter, we recorded $33 million of total expense net compared with $39 million in the prior quarter and $18 million in the year ago period. Other expenses primarily included $13 million of net interest expense, $9 million of interest expense related to lease liabilities and a $9 million impairment charge on intangible assets. Our Q4 income before taxes was $10 million, up from $3 million in the third quarter and from $5 million in the prior year period. It's also worth highlighting that our pretax profit more than doubled to $65 million for the full year 2021. Provision for taxes in the fourth quarter was $40 million compared to $60 million in the prior quarter and $42 million in the year ago period. Consolidated fourth quarter net loss allocated to Curaleaf Holdings was $28 million compared with a loss of $55 million in the prior quarter and a loss of $37 million in the prior year period. On a sequential basis, our net loss improved by 49% or $27 million. Now turning to our balance sheet and cash flow. Our balance sheet remains strong with cash and cash equivalents of $299 million as of December 31, 2021. At the end of fourth quarter, our outstanding debt was $436 million, net of unamortized debt discounts and debt issuance costs. In preparation for the growth opportunity over the upcoming quarters, we continue to build up our inventory. In Q4, our inventory increased $45 million sequentially, inclusive of $20 million of biological asset adjustment. Therefore, our business inventory grew by $25 million, primarily due to inventory buildup at recently completed Los Suenos acquisition and our New Jersey facility in preparation for adult-use. Our Q4 cash used in operations was approximately $6.5 million. Cash flow from operations was positive when adjusted for $9 million of working capital investment at Los Suenos and $7.5 million of inventory buildup in New Jersey. Net capital expenditures during the quarter were $55 million. Our investments continue to be focused on expanding cultivation and processing capacity as well as selectively increasing our retail presence in strategic markets. Capital expenditure for full year 2021 were $172 million. Turning to our 2022 guidance. As Boris mentioned earlier, we currently expect 2022 revenue of $1.4 billion to $1.5 billion, and where we fall within this guidance range is largely dependent upon economic impacts from rising inflation and regulatory approvals. Our growth will be driven by increased productivity of existing stores, expansion of new retail stores in Florida, Pennsylvania and Arizona, wholesale account addition, product introductions and the announced acquisitions of Los Suenos, Bloom and Tryke. At the midpoint of our guidance range, we anticipate that New Jersey's adult-use program commences on May 1 and our acquisition of Tryke closes on October 1. We expect 2022 adjusted EBITDA margins of around 28%, representing over 300 basis points of improvement from 2021. Our adjusted EBITDA margin guidance implies strong 30%-plus year-over-year growth. We expect gross margin expansion to primarily benefit from our fully ramped cultivation facilities opened in 2021 in states like Florida, New Jersey and Pennsylvania and new cultivation going live in 2022, such as in Illinois. We also expect increased cost efficiencies across our shared services functions, offset by investment in our branding and marketing initiatives in 2022. Finally, we expect to generate positive operating cash flow for full year 2022. We believe our current cash position as well as operating cash generation this year is sufficient to fund our CapEx plan, which we expect to be approximately $150 million in 2022. With that, I will turn the call back to the operator to open the line for questions.
Operator: [Operator Instructions] And our first question will come from Camilo Lyon with BTIG.
Camilo Lyon: Congrats on the strong close to the year, guys. You gave us a lot of detail here to go through, and I appreciate all the color. It's certainly very helpful in a pretty volatile market. Boris, maybe if you could just talk to us about what you're seeing on the pricing front in some of your key markets? I was particularly interested in the comment you made on Pennsylvania now end up being a good growth market for you. What are you seeing on the pricing front? And maybe tie that into how you're thinking about that playing into the gross margin and EBITDA margin outlook for '22?
Boris Jordan: Well, thank you, Camilo. We have not experienced the same pricing pressure that -- from other companies that in Pennsylvania I have mentioned on recent calls or in calls in previous quarters. We -- obviously, there was some disruption in middle of February with the change in the regulator's position on vape, but the company was able to quickly adjust to that and supply our stores with vape. So particularly on the fourth quarter, we really didn't -- we had a strong fourth quarter. We didn't feel the price compression. Obviously, there's a lot of players in Pennsylvania. We do feel that there will be more competition as we go forward. But we feel that we have good presence, good distribution on our stores and especially with the added cultivation that's coming online this year, we feel very, very strong about our position in Pennsylvania during this year.
Camilo Lyon: And how do we think about your promotional/your pricing positioning as you roll out through 2022, given all the comments that you made around the macro and the challenges with inflationary pressures and the like?
Boris Jordan: Yes, I think that's -- we tried to be -- we've tried to reflect that in the guidance on our EBITDA margin, right, instead of trying to shoot for higher. We tried to be realistic about where we thought things were going to end up. And obviously, before some of these markets go adult-use as more and more products buildup and more and more competition build up on these medical markets, we do expect to have some level of pricing competition. So we decided to guide at the level where we thought that we were very comfortable, that we were going to make, which is the 28%, which is still a 300 basis point improvement over our guidance -- our EBITDA for 2021.
Camilo Lyon: And then Ranjan, if I could follow up on that comment with respect to the cadence of how these margins should progress? Is it safe to think that we should see a progressive improvement quarter to quarter to quarter that gets you to a blended 28% as that maybe the fourth quarter is actually well above that number?
Ranjan Kalia: Yes. Yes, absolutely. I mean our Q4 for 2022 will cross the 28% mark, which means it really sets up a great run rate for FY '23 for us. We expect coming out of Q1, it will be a sequential growth with Q4 2022 ending with higher than 28% with one, like I said, that's upgrade for '23. We're really excited in terms of gross margin improvement, SG&A leverage? I mean, the SG&A leverage we're really seeing on shared services, and we're continuing to investing in more and more in brand building. That's just going to set us up to gain market share.
Camilo Lyon: And if I can just squeeze one more in. Boris, I was definitely heartened by the comments you made on New Jersey turning on in May. Maybe you could shed some more color on the confidence that you have of putting that out there. I think the commission has been incredibly slow of doing anything. So I think May would be a welcome date for the commencement of that adult-use program. But any more color you can provide would be great, or maybe, Joe, you can.
Boris Jordan: The only thing I can say is we're in regular -- we -- the one thing I can say is we're in regular touch with the regulator. We understand that there's up to 5 companies that are ready to launch with their full documentation and completed. We fully -- we would expect from what we're hearing and from what the governor said, frankly, recently that at the March 24 meeting that they should approve a good amount of the company to launch. The law says that there's a 30-day period from the time that they announced and approved to the time that we can start adult-use sales. We're being a little conservative given that there are some other things that still need to be finished up that may be a little bit later rather than the 24th. It might be somewhere around May 1 or the first week of May. But we feel as good as we possibly can, that we think this time, we're actually going to launch the program.
Camilo Lyon: From your lips, Boris, from your lips. Thanks very much and good luck with the first quarter.
Operator: [Operator Instructions] Our next question will come from Aaron Grey with Alliance Global Partners.
Aaron Grey: Congrats on the quarter. So Boris, I appreciate the color you mentioned in terms of some of the consumer pressure that you're seeing. And I believe you expect it to improve after 1Q. But I'm just curious in terms of the pressure you're seeing, can you comment maybe on the basket size, maybe some potential trade down that you're seeing in terms of cannabis just given that it's more of a cash-only business versus the ability to use credit cards. I just want to know if maybe it's a little more exacerbated to some of the pressure you're seeing on your side versus the broader consumer market?
Boris Jordan: Yes. So listen, I think the first quarter, some of the things that we've seen early on in January was a bit of a hangover from -- typically, we get a hangover. It was kind of a -- it was kind of almost the perfect storm. We got a little bit of a hangover from the holiday period, which we get every year in January. In the first couple of weeks, people usually have a dry January, they're not drinking. They're not smoking. They're not doing a lot of these things. So that was something that we saw. The second thing I would say is that January was the first month. If you -- last January, you had a million $600 stimulus check, obviously, this January didn't have that. You also had some inflationary pressures that really started to come through in January. And then you also had typically in the first 1.5 months of the quarter, you still have the hangover from Croptober, right? So Croptober is usually a fourth quarter and first half of the first quarter effect. The good news is January was a tough month. It was a tough month for all consumer goods companies in the country. I think we've seen that across the board. But what we're seeing is we saw a dramatic improvement, good solid improvement in the second half of February and the start of March has been very healthy. And so we're definitely seeing that trend. As you know, March and April are typically the best month for cannabis during the year. But January was a very, very tough month for, I think, everybody in the industry and all consumer goods companies. So it wasn't as though it was smaller basket sizes. It was more about the fact that several things came together and made January a little bit weaker than normal. And we're definitely seeing a recovery here into the second half of February and into March.
Aaron Grey: Good to see the recovery there. Second question for me in terms of the brand strategy. You mentioned natural expansion of some of the Bloom brands you guys just acquired. So I just wanted some color in terms of your current brand strategy as you previously were able to select as your recreational Curaleaf as your wellness brands with a focused brand strategy overall. So any color in terms of your thoughts now in terms of adding those national brands and whether they might differ in terms of price segments, different categories and how you're thinking about the national cannabis marketplace>
Boris Jordan: Yes, we have our CEO, who handles brand for us, to answer that. Joe.
Joe Bayern: Yes. I think we've always said that we have our core brands of selecting Curaleaf on the lifestyle side and the -- on the medical side. But we think the consumer landscape is going to evolve and change. And as it does evolve and change, we're going to look for new brands to meet new segments of the marketplace. So I think as we look to expand our brand portfolio, we'll be looking for brands that either will appeal to different consumer segments within the market or different formats. I think Bloom had some great products in different formats than we do. They have great tablets. They have great mints. They have ready-to-drink beverages. So we're looking at whether those products make sense to not only sell on a broader scale inside of Arizona, but should we be thinking about taking those into other markets? I think over time, we know that there's going to be additional assortment on variety needed as we continue to grow and we want to just do that in a thoughtful way.
Operator: Your next question will come from Vivien Azer with Cowen.
Harrison Vivas: This is Harrison Vivas on for Vivien. So first, we wanted to clarify the commentary on the revenue outlook at $1.4 billion to $1.5 billion in sales, that looks to be shy of the $1.6 billion that consensus was looking for. Boris, I believe you suggested that you expect growth to come in ahead of consensus estimates. So can you reconcile that? Is there a mismatch in organic versus pro forma revenue growth because our analysis suggests that the street was looking for roughly 30% revenue growth going into 2022 heading into today's print. So that's my first question.
Boris Jordan: I think our position is that we're taking reports that are built by -- produced by yourselves, frankly, as some of the other analysts. We're looking at a market that looks like it will grow by about 15% during 2022. And so we fully anticipate that we'll grow faster than the market. But given that there is some uncertainty around when some of these programs are going to start, we felt that it would be wise to, particularly in New Jersey, when our -- when the Tryke transactional flows, we felt that it would be prudent to come in with a range that was between $1.4 billion and $1.5 billion. If some of these programs got going faster, if they're more aggressive, if they ramp up faster, that might change. But right now, we feel very comfortable with our guidance of $1.4 billion to $1.5 billion.
Harrison Vivas: And then just in terms of follow-up. So just in the context of your peers seeing gross margin compression due to pricing pressure as well as inflationary cost, input cost environment. I know you said you really haven't seen as much pricing pressure, but can you kind of talk about your gross margin expansion and maybe quantify the impact that the improvement in efficiencies and the economies of scale had as well as the pricing pressure or potentially an inflationary cost environment had. Can you maybe provide a bridge to that 190 bps of year-over-year expansion?
Boris Jordan: Yes. So we always told everybody in our calls in the previous year that we were just getting up to scale. There are certain areas where we're -- I mean, in Pennsylvania we're getting up to scale now with the expansion of our growth facility. Illinois, we're going to be harvesting here very, very soon at a brand-new facility there. We're getting up to scale. So adding Bloom in Arizona has made us what we believe the largest operator there, and that's given us tremendous scale there as well. There's huge synergies from the Tryke and acquisition as well by being able to bring those operations both in Arizona and in Nevada and Utah together. We're definitely starting to see, we're incorporating our new technology, our new extraction technology [ACE] it's now operational in Florida. That's going to make us very competitive and it's going to expand margins in Florida, where we'll be able to sell products at current pricing levels, a much higher margin for us because of the fact that we incorporated this very new, very efficient technology, which is proprietary to Curaleaf. The second market that we're launching that in at the end of this quarter, and we'll start operation operations in the second quarter is Colorado. And the third market is California. So we have a strategy on dealing, as Joe mentioned in his presentation, with those 5 states on the West Coast that are more competitive. We have a different strategy there. We don't have a retail strategy. We have a wholesale strategy, and our strategy is very much geared at around our new technology and our new processing technology which has been approved, the cost of extraction and lift the quality and introduce new products into that marketplace. So a combination of scale on the East Coast, especially with New Jersey coming online, New York expansion, Pennsylvania expansion, Illinois expansion, new technologies and new extraction plants in Florida, Colorado, California, all of this together adds to an expansion of our gross margin and our EBITDA margin as well.
Operator: The next question will come from Andrew Partheniou with Stifel.
Andrew Partheniou: Congrats on the quarter. Maybe just starting off, could you give a little bit of color on what your organic versus inorganic growth was in the quarter? And thinking about your cash balance and the formidable balance sheet that you have, do you see that your growth outlook in 2022, absent Tryke is going to be mainly about organic growth? Or do you see more optionality for acquisition?
Boris Jordan: So obviously we didn't build any acquisitions into our model, except the ones that Ranjan mentioned. so Tryke we built in as of October 1. Obviously if that moved earlier, then obviously we'll capture that in our numbers as well. And that would obviously increase our sales, but we don't want to model any M&A that we haven't done at this point in time. So Bloom has modeled in as of the 1st of February, around the 1st of February, as we close that transaction. The Los Suenos is factored in as of the close of the transaction in October. Our organic -- basically, the fourth quarter was all organic. We had a little bit of sales that came out of Los Suenos. But as you know, Los Suenos is an outdoor cultivator and wholesaler. And so they harvested in October and they make sales throughout the whole year. So it didn't capture a tremendous amount of those sales in the fourth quarter. We anticipate starting to capture those sales towards the end of the first and into the second and third quarters, that's when we see a lot of those sales coming to from Los Suenos. We're also storing some of that biomass from Los Suenos as we incorporate our new technology, our ACE technology, our extraction technology in Colorado, which we'll start working in the early part of April, we will start to manufacture our select product in much higher quantity, which captures a much higher margin than selling biomass. And so that's also going to add to our margins as well.
Andrew Partheniou: And just to clarify on your revenue guidance, does that include New Jersey reg turning on?
Boris Jordan: Yes. So it includes New Jersey in the first week of May. However, you do need to understand that we anticipate the first quarter -- 2 quarters in New Jersey to be slow ramp, given the fact that; 1, there will be a tremendous amount of inventory on the market; and 2, that we have to fight for the customer to move away from what has been a proliferated black market to a regulated market. And so we're hoping that that will take place. We anticipate full ramp up by the fourth quarter. But we do think that the first 2 quarters, they remain -- the sort of May to the end of the second quarter until June and going into the third quarter will be a slightly slower ramp than we originally anticipated had the program started earlier.
Operator: Next question will come from Matt McGinley with Needham & Company.
Matt McGinley: My question is on the cash flow generation. Based on the midpoint of your top line guidance and the 28% EBITDA margin, you expect a little over $100 million in EBITDA growth in '22, which alone should get you to positive cash flow from ops. But that increase in EBITDA wouldn't get you all the way to covering a $150 million in CapEx from cash flow. And I'm just wondering, are you assuming a big working capital online this year? Or what else would get you to positive cash flow from ops where you can cover that $150 million in CapEx?
Boris Jordan: Thanks for that question. Yes, we anticipate that -- so we brought -- we built a lot of inventory, Matt, in some of our markets. And then particularly in New Jersey in anticipation for adult-use. So we fully anticipate that we'll be much more efficient in that inventory management as we go on. Likewise, we've built a lot of inventory because we we're launching ACE in Florida. So we'll be a lot better now that ACE is actually launched and operational in Florida. We'll be going through that biomass very quickly and bringing those products to market. So we do anticipate you'll probably see a pretty marketable improvement in bringing our inventory levels down in the second quarter, which will also raise quite a bit of cash for us from operation.
Matt McGinley: And on the CapEx, the $150 million, in what states would you expect this investment to be more focused on? And are you making more investments in CapEx on the efficiency side? Or will you continue to be weighted more towards the overall growth of the production footprint? And I ask that from the standpoint of we typically think of CapEx as a revenue driver. But I'm wondering if this is more of a -- a bigger amount of this CapEx this year is more of a margin driver for you?
Boris Jordan: So it's the combination, we divide our CapEx between cultivation and production, retail expansion and other being some of the efficiencies in our R&D facility. So maintenance CapEx and things like that. But we anticipate that, obviously, Pennsylvania is a big CapEx number for us because of the fact that we're opening up our new facility there at Chambersburg and that's a big part of New York, big ramp there for adult-use. So that's the second biggest in terms of dollars spent on the operation side. Florida, we're adding another grow house in Florida in order to fill -- in order to be able to supply the new stores that we're opening up. We have a lot of R&D facility. We've got another piece of the R&D facility. And then there are some small stuff in Colorado and California, mainly driven at the ACE equipment that's being put into those states to make our operations more efficient. And then the second basket is retail. So about $118 million is operations CapEx, about retail CapEx is about $27 million that goes into the retail side. That's mainly driven in Florida, Connecticut, Pennsylvania, Illinois, Arizona, Massachusetts, so in that order. So on the operations side, its Pennsylvania, New York, Florida, some national stuff on the R&D side, Colorado and California, and on retail, Florida, Connecticut, Pennsylvania, Illinois, Arizona and Massachusetts that we're investing in on the retail side. A total of about $145.5 million CapEx.
Operator: Your next question will come from [Bob] Zuanic with Cantor Fitzgerald.
Pablo Zuanic: Boris, one question I keep getting from investors is about whether Curaleaf is a good operator or not. So I appreciate all the color you gave on the EBITDA margins and the difference between the investment markets and more established fund. But when I look at Select, according to Headset, Select used to have 20% market share in vape in California in 2018 and now it only has 5%, right? So if California is supposed to be the key test market for all the top cannabis companies, what's happened with your vape share in California? And what should we think -- how should we think about that in terms of the strength of Select brand in general?
Boris Jordan: Yes. So we -- so Select has actually exceeded our internal expectations as a brand. We brought it across the whole country now and I think almost 19 or 20 states. And in those states where we really focus on building the margin side on the East Coast, that's done very well. We definitely slowed our -- intentionally our Select sales in California until we could build the supply chain. Now that we have ACE that's going into California, you'll probably see an increase of those sales sometime in the third quarter, probably because California is our third market. We will be installing the ACE equipment. First being, as I said, Florida, which is now fully operational, second being Colorado, which is a new market for us, and we really -- we think it's an exciting market. And with the outdoor grow there, we really felt that that was going to give us the biggest bang for the buck. And the third market being California, California, as you know, is going through a very, very difficult period of time right now in its supply chain and the structure of the market, the taxes, et cetera. So we decided to bring that business down a little bit until such time that we could install the supply chain, including our ACE equipment that would provide us a higher margin on that business. And so I think that by the third quarter, Pablo, you will start to see an increase of our market share on Select in California.
Pablo Zuanic: If I can ask just on the reform outlook, I know it's always a crystal ball question, but your latest views in terms of the probability of safe banking passing this year were attached to a separate [Indiscernible] or being passed on its own?
Boris Jordan: I don't think we're going to get to see it passed on its own. If you -- this changes almost every week, Pablo, but there was a small positive this week. We heard that one of the more powerful senators involved in the original law, I'm not going to mention because I'm told I wasn't allowed to, that was involved in the original law has started a call around committees and started to talk about safe rather than the broader law. We think that's a very, very positive development. But obviously, with the situation and tragic situation in Russia and Ukraine as well as the unexpected retirement of the Supreme Court judge has put other matters on the docket as well. But we do know that there's quite a bit of support. And the positive is that we're now seeing one of the more powerful senators involved in the process, thinking that safe may be the better option to pass this year rather than trying to go for the full law. So that gave us a glimmer of hope that that may actually happen. And so we are anticipating seeing more information on that issue, but he did make the call to very powerful Committee Chairman asking their views on safe rather than going with the full law that they were trying to pass.
Operator: The next question will come from Matt Bottomley with Canaccord Genuity.
Matt Bottomley: Just wanted to go back to your comments on New Jersey. Boris, you had mentioned expecting maybe it being a little more of a modest ramp for the first couple of quarters. And I'm just trying to, again, get a better understanding of what the market dynamics are there -- the dynamics are currently with the current illicit market. So I'm Canadian, and we saw, for example, in Vancouver and British Columbia, there was a lot of popup shops and other places that actually looked quite legitimate in legal that a lot of consumers were going to that were taking away from legal sales. Whereas we had in Boston, there's a Brookline store that was rumored to be doing very, very significant sales at the beginning of Massachusetts adult-use. So where does New Jersey fall in that spectrum with respect to the stores that are open, given that there's not that many relative to the overall size of the state that needs to be serviced?
Boris Jordan: Yes, I think -- so let me start from the beginning. The first is that when they do approve here at the end of March going into April, we don't expect a lot of operators to get approved right away, right? So even if we listen to what the state said, I think 5 operators already, we heard up to 8 may be ready by March 24. So say they even approved 5 operators, right? That's 3 stores per operator, right? So that's not a huge access point market yet at this point in time. Likewise, a lot of those operators like Curaleaf also have a tremendous amount of inventory buildup that we've been preparing for the New Jersey launch. So that's why we feel like it's going to take a little -- and not all stores are approved with all operators because some of the jurisdictions are being very slow about getting their letters in or getting the approvals through their various municipalities. And so we think that the market -- the stores that will be open, obviously, are going to have heavy lines and there'll be a huge amount of activity. But in terms of sheer volume of business, until the full market opens up and all the operators open up, we think that it will be a slow ramp. Now when it comes to the black market competition, what we've seen, it was a good point that you brought up. I can't speak for Canada, but I can speak for Massachusetts, Joe Lusardi and I launched there, and that was a very slow launch. And of course, we were very worried about the proliferation of the black market, but eventually, the black market disappear, right? The regulated market takes over and the black market disappear for the most part. So I mean, it's still there, but it's not there -- it's not real competition. But the longer these regulators wait approving these programs, the harder it is, the more proliferation of the black market happen. Again, it always ends up the regulated stores win. They win because the quality of the product, they test the product, and people prefer to go and buy products in a store that's got tested products than into a store that does -- that they don't know what they're buying. And so the regulated market will win, but it's just going to take a bit of a ramp-up. And so we thought it was proven in our numbers, not to over-ramp the numbers coming out of New Jersey. We think by the fourth quarter, that market should be firing on all cylinders. We do think they need to get all the operators into the market. And once all the operators are in the market, once they start opening up and giving out new licenses, we think that the market will have very dramatic expansion. Again, even though there's a lot of products now, most of this product will be out of the market and the market will be underserved again in our opinion by the fourth quarter. We think the market will have a reasonable amount of products in May and June and third quarter. We think about the fourth quarter, we'll work through those inventories, and you're going to start seeing shortages in the market as well.
Matt Bottomley: And just one more on my end. Just switching over now to sort of the M&A outlook and what you're seeing maybe more on the private sector. Clearly, the MSO valuations and all cannabis valuation for that matter have been under pressure for the better part of the year. So have the private valuations, at least what the maybe single-state operators are expecting, is that follow suit? Or is there a bit of a high watermark based on some of the purchase price acquisitions from a few years ago? And just how Curaleaf thinks about balancing, maybe not wanting to give away or invest as purchase price consideration, your share at current prices, but also wanting to conserve cash for CapEx and other growth opportunities organically, just how you sort of balance those 2 things?
Boris Jordan: Listen, we are going to become, right, the Bloom transaction, even though we thought it was a great price at around 4.5x or 5x EBITDA, that was negotiated much earlier. The Tryke transaction also much early when valuations were different. Right now, we're taking a wait and see, look, we personally think that the private market needs to come way down in terms of its valuation expectations. If you look at it, even a month or 2 months ago, it still wasn't doing that. Now I think it's -- we're seeing the secondary market -- sorry, the private market come under tremendous pressure. They're not able to raise financing. And so we think that the M&A opportunities and consolidation opportunities are going to become quite exciting for the bigger operators. We think that not only will there be private market consolidation, but we actually think some of the smaller public companies are also going to be struggling in these markets. And so we think there'll be -- I think '22 will see quite a bit of consolidation in the marketplace.
Operator: The next question will come from Owen Bennett with Jefferies.
Owen Bennett: I'll just keep it to the one question. Just around the additional SG&A spend in '22. So you mentioned with the savings from shared services, you can now invest more behind brands. Is it possible to quantify how much of additional spend you can put behind brands because of those savings? And then also, just going back to New Year what sort uplift is required to support a market like New Jersey when it turns on adult-use, given you mentioned you're going to have to spend to convert the illicit users in the early quarters?
Boris Jordan: So I'll answer New Jersey. I'll let Ranjan answer the first part of the question. When I said it's to take, it's really time, not money. I mean the people are going to come to the stores. We've seen this in every market that converts from medical to adult-use. They all come, even those customers that use the illicit market, they all eventually come, their curiosity get them going and they come in. Obviously if the store is very far away and there's not enough stores right now in New Jersey, that does create a little bit of a problem. But for the most part, in the first year, first 1.5 years, we don't anticipate any real market expense in order to get customers to our stores. Particularly Curaleaf, we sit on the border of Pennsylvania, all 3 of our stores do. I mean one of our stores is literally 10 minutes out of Central Philly. It's in the Philly suburb, but on the New Jersey side. We anticipate massive, massive, massive crowd and demand for our products. We think we're very, very -- we're very well positioned there, given that Pennsylvania doesn't have an adult-use market and the variety of products available on the New Jersey side is going to be so much more tremendous than we have in Pennsylvania. And so we do think we'll get good business there, and we don't think we'll have to do any marketing in the early years in order to get customers into the stores in New Jersey. And the other question, Ranjan, I think I'd leave that over to you.
Ranjan Kalia: So you might have heard Joe Bayern talk about creating $1 billion brands in the earnings call before, today. I mean we're really starting to embark on that journey by actually investing 200 basis points incremental and marketing and branding spend in FY '22 versus '21. And that's really coming from leverage in shared services. So doing all of that and creating more EBITDA margin, but then continue to invest it in future so that we can really create these billion-dollar brands.
Operator: The next question will come from Ty Collin with Eight Capital.
Ty Collin: Just wondering if you could describe the areas of the business where you're seeing the most inflationary pressure right now, whether that's in retail labor, the construction side of things, energy costs? And any specific actions that you're going to take in 2022 to offset that beyond sort of general efficiencies? And then just as an add-on to that, I'm wondering how those inflationary pressures were kind of factored into the EBITDA guidance for this year?
Boris Jordan: So there's definitely been inflationary pressures on construction, construction materials and construction services. And since we're still in a fairly high CapEx mode, we're definitely feeling it on that side. There's not much you can do except be as efficient as you possibly can. We're also not rushing construction anymore. So that's the one thing we did notice that if you're rushing construction, your costs go up much more. And so we've slowed down some of the projects, given that a lot of the projects that we have now are there to scale up existing operations that we have in those states given that Curaleaf is in a lot of locations. And so that's one of the things we're doing to mitigate there. We'll also try to be more efficient in the way we do things. Likewise, now that Curaleaf has laid its footprint down nationally, and we have enough capacity almost in every market to supply the demand that we have, we're really focused now on being as efficient as we possibly can .So we really have major programs that, Joe, maybe want to talk about, on making -- on focusing on our COG and making sure that we are as efficient as we possibly can in terms of our operations in the business. And obviously on the retail side, yes, there is definitely some level of -- there is some level of inflation on the employment side, obviously. But we couldn't -- obviously, we can't match the inflation rate at 7.5%. We had a 3%. Obviously, that was the hit, we had a 3% across the board increase in pay to deal with the inflation. But the inflation is running at 7.5%. So obviously, we couldn't -- we weren't going to try and match that kind of a number. And so we're trying to be as prudent as possible. And I think that that's one of the reasons we're at 28%, and we're not at 30%. I mean there's a combination of them. But one of the reasons right now is that we're very happy with the 300 basis point improvement from 25% to 28%. I think we're going to be the only MSO this year that will have an expansion of our margin. But obviously, that some of the inflationary pressures, but definitely is our ability to get to that 30% this year. Although as Ranjan said, we'll be there probably by the fourth quarter, but we could get there earlier due to some of these pressures that we're facing in the marketplace.
Operator: Our last question will come from [Spencer Hanus] with Wolfe Research.
Unidentified Analyst: The call out on the 700 basis points margin drag from the investment markets was really helpful. But can you talk about how much of a drag New York and New Jersey are margins just given the lack of adult-use sales there and the system infrastructure that you've built? Because it seems like those would be the most near term to get resolved here. And then when you think about the assets on the West Coast in the industry, you're seeing a lot of irrational players. Is there a more capital-light way that you can glean insights from those markets? It doesn't result in such a drag on EBITDA margin.
Boris Jordan: Yes. So let me start with the West Coast. So what we did in the West Coast is, we're incorporating our new technology called ACE, it's an extraction technology, which is much more efficient than any current extraction technology in the market. Obviously, production costs are a big part of the cost base. The other thing we've done is we've gone to outdoor growth in a lot of those like our Los Suenos acquisition in California. Obviously, the biomass market has come down in price dramatically. So together with our new production technology, we feel that every quarter, we're going to be improving those margins. But one needs to understand, those markets, California, Colorado, Oregon, Michigan, they're never going to have the 30-plus percent EBITDA margin, at least not in the foreseeable future. I think the best we can do in those marketplaces is going to be somewhere between 20% and 25%. But together with our East Coast operations, where we're seeing margins of well over 40%, that's where we're going to get to the blended 30% margin, which is our target going into 2023. One needs to also remember that the European operations that are still very early stage are taking around 1% or 100 basis points off of our EBITDA. And so -- but we're very -- but we really want to be there. We think that's going to be a very large market. We're very excited about it. As I said in the call, I was just there, and I spent a couple of -- almost 3 weeks traveling around Europe, meeting with our teams, working on our plan. We're very excited particularly about Germany and the U.K. Those are immediate opportunities. The U.K. is growing. It's probably the best medical law that I've ever seen. We think that's going to be a very large market. Germany moved a lot faster than we thought and moving towards improving adult-use. We think that program is going to get launched in early 2020 -- in early '24. And it takes about 2 years to prepare for that. So obviously, those markets are taking up a little bit of investment numbers from us, and they are weighing a little bit on the EBITDA margin, but we think that that's going to more than pay off as those markets launch over the next couple of years. And so on the East Coast, New York and New Jersey, definitely. I mean, they're still our highest -- both of those markets are highest, both gross margin, EBITDA margin space. But a lot of the customers have gone either to the black market or in New Jersey's case, it just stopped renewing cards because they expect the program to get launched any day. So you definitely saw the medical program in New Jersey shrink. You saw competition build from the original 6 operators to what I think it is now 16 or 18 operators. So we definitely saw some competition, and you didn't see new customers entering the market because everybody is awaiting the adult-use market to get launched. And so the faster that launches, I think the better it's going to be for all the operators. And in New York, there we started investing a little bit later than in New Jersey. And so we feel like we're going to be probably completed on all of our expansion right in time for the adult-use market to launch in '23. So we feel good about the New York situation. And we haven't seen -- although the black market is proliferated in New York, we haven't seen as big of an impact as we saw in New Jersey on our numbers, although they definitely have flattened out. Growth has definitely slowed in New York, but the margins are the best in the industry. And that's our best state in terms of margins across the country.
Unidentified Analyst: And then can you talk about what you're seeing in Florida from a pricing standpoint and how the new stores you've built this year are performing relative to expectations? And then as we look to '22, how are you thinking about investing both in new stores in that market, but then also a new capacity to grow down in Florida?
Boris Jordan: Florida has been a great market for Curaleaf since last year. We had a slow start there in '19 and '20, but we really got ourselves going in '21. And we're going into '22 very strong as well. We had a small hiccup in January around COVID, where we lost about half of our operational staff and our grow facility, and that hurt us a little bit on packaging and getting products out to the market, but that's probably been completely alleviated. And as you saw last week, we had a record week in Florida in terms of our total milligram sales. Also, Florida finally we've installed, finally after many years in development, our ACE technology. Our first product coming off of that will be hitting the market, I believe, either March 10 or March 11, that's going to be not only a very high-margin product now, but more importantly, it's going to be a different product, a much higher end product for the market. It's going to be a [Indiscernible] product, which nobody has and nobody can produce at the price levels that we'll be able to produce with our new technology. So we feel very good about Florida in '22, and we are opening up minimum of an 11 additional stores to what we've opened up this year already. And we might go as high as 60 stores, and we'll be adding some cultivation capacity there, preparing ourselves for the adult-use market as well. So we feel good about Florida. We're very excited about it, and we continue to go from strength to strength there.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to our Executive Chairman, Boris Jordan, for any closing remarks. Please go ahead, sir.
Boris Jordan: I'd just like to thank everybody for attending the call. We look forward to this year, and we look forward to the call with analysts who're here over the next couple of days as well. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.